Operator: Hello, everyone and thank you for joining the Super Group's Third Quarter 2025 Earnings Webcast and Conference Call. My name is Lucy and I'll be coordinating your call today. [Operator Instructions] It is now my pleasure to hand over to your host, Nkem Ojougboh, Head of Investor Relations, to begin. Please go ahead.
Nkem Ojougboh: Good morning, everyone and thank you for joining us today to discuss Super Group's results for the third quarter 2025. During this call, Super Group may make comments of a forward-looking nature that are subject to risks, uncertainties and other factors discussed further in its SEC filings that could cause the actual results to differ materially from historical results or from the company's forecast. Super Group assumes no responsibility to update forward-looking statements other than as required by law. On today's call, Super Group may refer to certain non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for measures of financial performance prepared in accordance with GAAP. Super Group has provided a reconciliation of the non-GAAP financial measures to the most comparable GAAP figures in the press release issued yesterday and available on the Investor Relations page of Super Group's website. Super Group recommends that investors refer to the supplementary presentation posted to the company's website. Today, I'm joined by Neal Menashe, Chief Executive Officer; and Alinda Van Wyk, Chief Financial Officer. After our prepared remarks, we'll open the call up for questions. And now I'd like to turn the call over to Neal.
Neal Menashe: Thank you, Ink. Good morning, everyone and welcome to Super Group's Third Quarter 2025 Earnings Call. We delivered another strong and resilient performance this quarter, powered by consistent execution, record customer engagement and continued focus on margin expansion. We achieved this despite customer-friendly sports results in September and with customer acquisition up very nicely year-on-year, we are positioned for a good fourth quarter. We enjoyed seeing many of you in our London office for our Investor Day in September. Now we would like to share some key takeaways since then. First, we hit a record of 6 million monthly active customers in September, which we have already surpassed in October. This reflects the depth of our global footprint, our localized execution and the value loyal customers continue to place on our products and platforms. Second, we are proud to officially announce the upcoming Q4 launch of Super Coin, our South African rand-pegged digital asset stablecoin initiative. This marks a significant and strategic step forward in how we think about payments, rewards and engagement. Finally, despite unfavorable sports outcomes in September, rolling marginally into October, we are raising our full year group revenue and EBITDA 2025 guidance. Before I turn to Alinda for the financial details, I wanted to offer a quick overview of our operational performance this quarter and elaborate more on Super Coin. Europe's revenue surged 46% year-over-year with the U.K. and Spain leading the charge, up 71% and 11%, respectively. This outstanding performance reflects a combination of regulatory stability, product innovation and enhanced marketing execution. In contrast, Germany continued to be impacted by tighter regulatory restrictions as well as an intentionally reduced marketing spend to preserve unit economics in a challenging environment. Africa delivered 36% year-over-year growth, driven by strong performance across all markets. Botswana remains a standout with continued momentum since launch. Malawi and Tanzania also posted solid gains, while South Africa grew 23% year-over-year. In Nigeria, we have successfully completed the migration to our new technology platform, which positions us for improved scalability and customer experience. In Zambia, we are proactively navigating casino tax headwinds and are making good progress. North America grew 14% year-over-year. Canada ex Ontario increased 15%, supported by higher deposit volumes and strong customer retention. Ontario increased 3%. We are planning to launch our new casino client there in the first half of 2026. APAC revenue was also up 3% year-over-year, marking a solid improvement from last quarter's 6% decline. In New Zealand, revenue declined 2%, primarily driven by continued marketing restrictions. We are obviously actively addressing this issue. We are on track to launch the ZAR Super Coin in late November in partnership with Luno, the largest customer, consumer crypto exchange in South Africa. This new South African rand-pegged stablecoin is designed to deepen customer loyalty, reward engagement and enable cross-platform benefits across the Super Group ecosystem. We intend Super Coin to be more than just a rewards tool. It marks a crucial first step in integrating digital assets into our product stack. Our digital asset wallet is expected to launch in Q1 2026, starting in South Africa, where adoption of alternative payment methods continues to accelerate. This wallet will provide customers with a seamless and secure way to store, send and transact using Super Coin and we expect it will lead to cost efficiencies over time. In the longer term, we plan to expand availability in line with local regulatory frameworks. With that, I'll now turn over to Alinda.
Alinda Van Wyk: Thank you, Neal. Let's now walk through the financials. We had an exceptional July and August. And despite those sports outcomes that Neal mentioned, our core business outperformed, enabling us to confidently raise our full year guidance above previous Investor Day targets. The group generated a total revenue of $557 million, up 26% year-over-year. Group adjusted EBITDA reached $152 million, representing 65% year-over-year growth with a robust margin of approximately 27%. This quarter's margin improvement reinforces the strength of our model. We are investing in markets that deliver the best returns while maintaining cost discipline and increasing operational efficiency, including expanded use of AI across customer support and trading. We again improved our marketing ratio and still drove record customer engagement and wagering growth. These fundamentals, disciplined reinvestment, efficiency gains and a sharper ROI positions us to finish this year strongly and carrying momentum into 2026. The quarter was also driven by strong sports outcomes in July and August and increased uptake of parlays. Growth was further supported by favorable wagering activity with sports betting wagers hitting $901 million for the quarter, up 12% and casino wages up 20% year-over-year. Our sportsbook margins also improved from 11% in quarter 3 2024 to 12.8% in quarter 3 2025. Our balance sheet remains strong. We ended the quarter with $462 million cash on the balance sheet. Over the last 12 months, we have returned $136 million to shareholders, including $20 million paid out in the past quarter, once again, demonstrating our robust free cash flow generation and careful consideration capital allocation strategies. Today, we are raising our full year 2025 group revenue to be between $2.17 billion and $2.27 billion and group adjusted EBITDA guidance to between $555 million and $565 million. This uplift reflects our robust growth in monthly active customers, diversification in our revenue mix and steady start to quarter 4. I will now hand back to Neal for closing remarks.
Neal Menashe: Thank you, Alinda. Q3 showcased the power of our diversified global footprint, efficient cost structure and strong operating leverage. Even in a tough sports hold environment, we delivered record customer activity, 65% year-over-year growth in EBITDA and consistent reinvestment in our product and tech platforms. As we move into the final quarter of 2025, we remain focused on executing our growth strategy, unlocking further margin expansion and delivering long-term value to our shareholders. I'll now turn the call over to the operator to open the call up for questions. Operator?
Operator: [Operator Instructions] The first question comes from Jason Tilchen of Canaccord Genuity.
Jason Tilchen: One thing I'm curious about, if you could share a little more detail regarding the magnitude of the difference in payments costs in Africa relative to some of the other markets you operate in and a little bit more about maybe the level of investment required in this initiative relative to the potential savings over time from reduced payments costs.
Neal Menashe: Yes. Not yet. So in Africa, because of the wallets and stuff, it's significantly more than other markets in the world. So with this initiative, it can over time, obviously reduce that. And yet, the cost involved in implementing the Super Coin haven't been excessive at all. It's actually quite -- it's easily manageable. And over time, obviously, with the engagement in the customer base going forward, we are really excited about this opportunity.
Jason Tilchen: And just to follow-up on that. You mentioned in your prepared remarks a few times about rewards. I'm just curious what the opportunity is to potentially use this as a mechanism to drive retention for the user base in those markets.
Neal Menashe: Yes, the -- listen, it's all about our customer acquisition, keeping the -- retention of our customers and keeping them in our ecosystem. So with the Super Coin, we -- there's lots of different benefits we can give them as they start interacting with that because it's a method that we will control and we're in total control of that destiny. So for us, it's a very exciting opportunity, because of that. This bonus money where you can give them, there's lots of different things you can give them.
Operator: The next question comes from Jordan Bender of Citizens.
Jordan Bender: I want to start on guidance. Adjusting for the tough sports comp in the prior year, 4Q revenue still implies slowing growth trends from what we've seen year-to-date. Are you seeing anything into November that would imply anything slowing across some of your major KPIs outside of just some of the poor sports results that have bled into October?
Alinda Van Wyk: Thank you, Jordan, for your question. We -- in the guidance for the remainder of the year, we just assumed a normalized sports hold in line with around 14%. As you can see in the investor presentation, we've prepared a slide on that. We can't -- as you know, it's very tricky for us to have any kind of understanding of the impact of when it does have a outlier like in September. But what happened in September is well because July and August were so significantly higher, you do have a equalized quarter. So that's why we just kept it normalized. And we're also very excited about the continued momentum in the customer activity, fueled by also marketing efficiencies in line with our prior quarters. So that all will help deliver that last part of the year. And furthermore, we just have to rely on consistent execution and a seasonal supportive calendar.
Neal Menashe: And also I'll just add in Jordan, that obviously, quarter 4 2024 was a hard comp because the sports margin was at 15.9%.
Jordan Bender: Perfect. And then just maybe a follow-up on the U.S. business. Anything left from a revenue or a cost standpoint we should be expecting in the fourth quarter?
Alinda Van Wyk: Yes. So the gaming operations is all wrapped up in the U.S. And that -- the only thing that is now -- that we're just doing is the operational wind down and wrap up. In the guidance for quarter 4, we've included that. That is a absolute immaterial number. So -- and we won't foresee any revenues coming through in quarter 4.
Operator: The next question comes from Jed Kelly of Oppenheimer.
Jed Kelly: I think you highlighted we're kind of watching some tax developments here in a couple of countries in Africa and then potentially in the U.K. Can you just remind us how much of a tax cushion you baked in, in sort of some of the medium-term guidance you laid out at your recent Investor Day?
Neal Menashe: Yes. So remember, taxes, obviously, with us, the way to mitigate taxes is, #1, cost efficiencies. There's cost efficiencies in everything we do, then it's the product efficiencies and it's the marketing efficiencies. So all of that is coming together. And for us, we have lots of headroom there to take some of these tax increases. The big one, obviously, for everyone's mind is the U.K. and how much they plan to go up. But for us, we've got a resilient business model and we're growing. So yes, it might take some of the extra profit out of it. But with all the other savings coming in, we hope to mitigate against them.
Alinda Van Wyk: But just to go back to the reference to Africa, the only really impact at the moment on tax in Africa is around Zambia and that's been embedded in the Q4 guidance forecast.
Jed Kelly: Got it. That's helpful. And then just circling back to Ontario. I think it's -- you said -- you highlighted it's growing 3%. I think overall, Canada is growing high teens. How should we think about Alberta's growth rate when that market legalizes? Should we think that grows mid-single digits? Or should -- do you think you can maintain sort of that strong growth you're seeing in the rest of Canada?
Neal Menashe: So I think we've learnt our lessons, obviously, as we always say, in Ontario. Again, we've got the new clients being launched there shortly in next quarter in Canada -- in Ontario and we're obviously enhancing the products. So all of that will help us deliver more in Alberta. But this is one that we -- I would say Alberta would be higher teens, et cetera. We would expect to be closer to what else we see in Canada.
Operator: The next question comes from Bernie McTernan of Needham.
Stefanos Crist: This is Stefanos Crist, calling in for Bernie. Pretty healthy margin level despite some negative sports results. Can you just talk about the puts and takes on margin in the quarter and if that's sustainable going forward?
Alinda Van Wyk: Yes. Stefanos, directionally, 100%, our model benefits from mix towards higher-quality casino revenue. We also have the strong geographic diversification. And what we've been seeing, even though the sports results have been under pressure, we've seen increased parlay contribution, which had a favorable impact. Otherwise, what Neal and I constantly talk about our structural efficiencies as we roll out AI-enabled operations and disciplined processing negotiations, et cetera, we definitely believe that this margin is sustainable.
Stefanos Crist: Got it. And then you called out strength in the U.K. and Spain. Just anything specific to call out there?
Neal Menashe: So I think if you take U.K. and Spain, it's the product, again, remember, we closed a lot of markets. And I keep telling people that when we close those markets, we'll then to be able to focus the resource in on the markets where we're winning. And that you can see that in obviously the U.K. and stuff. So all the stuff we're doing on parlays, the product, the processing, everything that happens in the product is you're seeing a direct correlation of how those numbers are going. So it's not fluke. This is a dedicated resource allocation and we keep pushing more, more and more. And our brand strength, obviously, is compounding. Spain, we've got like the Super Club loyalty was introduced, ongoing product upgrades. And so all of that's coming together. And that's all about this operating leverage that sits in our platforms.
Operator: The next question comes from Clark Lampen of BTIG.
William Lampen: Neal, maybe I can follow up a little bit on that comment around U.K. growth and the product, I guess, sort of driver underpinning it. Was that Apricot driven? And if so, is that something that we should think about maybe being sort of earlier stages with the U.K. sportsbook? And then sort of second question, as we think about the sportsbook business overall, maybe as sort of a follow-up on Jordan's question around the forward outlook. If we sort of run forward the numbers with seasonal improvements in your customers in line with what we've seen in the past, it would seem like there was a pretty significant downtick on a per customer basis. Is that in any way sort of related to engagement patterns? Have you seen any downtick? Or maybe should we read this as just sort of a prudent way of approaching, I guess, the sort of 4Q setup and modeling?
Neal Menashe: Okay. So just back on the U.K., obviously, I always think we under-index. The brand was really good in the U.K. But as we've got more focus on the product, you've seen an uptick there. Plus remember, we've also launched the casino over at Jackpot City, et cetera and we put a lot of effort into that. So all of that's coming together. Plus you've got the parlay mix that, that product, which is obviously that we purchased from Apricot, that we're almost finally getting over the line and owning it in the next few months is all coming together because we actually own 100% of the road map there and what's happening. So that's all coming together for what I call Betway Global internationally. Obviously, the Betway Africa has always been running a superb product, right? So that all helps. No, I think when it comes to the outlook and stuff, it's not -- we -- listen, we're always prudent as you know. We -- this is how we operate. Again, we're still 80% in this quarter, I think it was 83% or something in casino. It just depends how the football lay of the land actually unfold in because football is our #1 sport. I think in September, what we saw with the Champions League was that all the favorites were winning in the Champions League round robin. But now we're starting to move and we'll move into the next couple of months into the next phase and that's when there's the favorites don't always win. So for us, it's just being prudent. We've got -- listen [indiscernible] all about and [indiscernible] always keep discussing, it's all about customers in the house and how they engage and we're delivering more and more of those month-on-month. And that's why I said October numbers of customers in the house worth even more than September.
William Lampen: Okay. If I could throw one more in, your Africa growth was up 36% this quarter. Anything that you would call out sort of along the lines of the same sort of underpinning drivers with product in that territory? And maybe more importantly, how should we think about the sustainability of growth at an elevated pace?
Alinda Van Wyk: It's definitely more durable broad-based growth. We do obviously seeing Botswana as a standout in the mix when it comes to first launch. I mean Botswana was about 4% in quarter 1, 4.5% in quarter 2 and now 6.5% in quarter 3. So that just shows that how that one country contributed to the growth of Africa. But generalized, the growth is around the consistent African -- consistently across all the African countries. And we've also just completed the Nigeria tech migration, which we hope to also see a nice uplift in stability in the next couple of months. And then just to conclude, remember, we've launched Jackpot City as a secondary casino brand in Africa. It's now live in South Africa, Ghana, Malawi and Tanzania. And we foresee that Ghana will be -- the launch will happen in Ghana now.
Neal Menashe: So we've done that. So I think the moment we set out that we've got to get our casinos in all the markets we're operating in. And that's the same for U.K., same for Africa. We're now hopefully coming soon to Spain. And then the last one, obviously, is Germany that we still got some tech stuff to do there because it's quite restrictive of what we have to do.
Operator: The next question comes from Ryan Sigdahl of Craig-Hallum.
Ryan Sigdahl: Really nice results. Want to move around -- stay on the hold kind of the sports impact in September. If I look at August, it looked like it was kind of an outsized good guy for the sportsbook from a hold standpoint win, offset by September. Are you able to kind of net those 2 together throughout the whole quarter on kind of what the net impact was from sports gross margin impact relative to what you were expecting?
Alinda Van Wyk: So I think it's on Slide 12 in the investor deck. We've included quite a nice slide now just to explain the ebbs and the flows of sports margin, which is obviously you can't really predict any of that. So what we've just started to see, like Neal explained as well is the timing of the matches and how the outcomes will now be a bit more favorable because -- for the -- for that -- for Betway, not for the customer maybe because of -- in the beginning, you have much more favorable that will. But on this slide, you will see we had a high of 18.8% and a low of 7.3%. So that we've actually marked now. So that average of 14% is what we kind of project forward. But net-net, over a period of time, the margin is increasing due to all -- everything that Neal has mentioned of more rollout of the parlay product in other parts of our -- which was quite dominant in Africa but now in other parts of the world as well as just customer engagement.
Ryan Sigdahl: Fair enough. Super Coin part -- is South Africa kind of the initial launch? Is there plans to launch a similar coin in, let's say, Nigeria and other markets? Or is this kind of a one, let's trial it and see how it goes before making any other kind of further strategy and decisions?
Neal Menashe: Yes. So South Africa was the first place to start just because of the [indiscernible] license and high digital wallet adoption there. And so also we've got a big customer base there. So we tried it out there. And as it works there, then we'll see the other markets and are actively looking at other markets. But we rather want to start in one country and then move as opposed to try and do it in so many countries all at once. I mean there's quite a lot of technical lift that has to happen here and with Luno being the largest consumer exchange, having the biggest customer base in South Africa, we decided to start there first. So there's a road to go there. This is obviously the first part, listing on the exchange and then you would get into the wallet adoption into Betway, which I said would probably happen in quarter 1, towards the end of quarter 1.
Ryan Sigdahl: Maybe just a follow-up on that and maybe a naive question on crypto but can you launch the same Super Coin in other markets? Or would it have to be a kind of full separate infrastructure and coin?
Neal Menashe: Yes. It's basically every coin will be -- this is a ZAR coin and Super Coin, then you have the different currency coins in each market. But it's all the same technology, same, everything, we just got to get on to those relevant exchanges in the countries we decide to go and that the laws of that country allow us to do it.
Operator: The next question comes from Mike Hickey of Benchmark Company.
Michael Hickey: Neal, Alinda, Ink, Super Group team, congrats guys on a great quarter and a great year, definitely getting a real picture here of 2025, Neal. Just curious when you look at sort of the drivers here of your growth and there's a lot of them, just curious sort of the main drivers, the most durable drivers that you think will also be a positive impact to your '26 outlook. So I guess, Neal, just curious if you can kind of give us what '26 looks like, growing off such a great '25 and how much are sort of existing drivers of growth versus new drivers like Super Coin? I mean Super Coin sounds great. It's just hard to sort of understand the impact and how material you think it could be. It seems like it could be great on revenue and costs. But I guess just getting a better idea of '26, Neal, would be great [indiscernible].
Neal Menashe: Okay. Michael, I won't comment on 2026 yet but I'll tell you where -- what we've delivered on. So we've delivered on marketing efficiencies everywhere, right, in the business. We spent [indiscernible] $500 million on marketing for 2025. So it's getting that efficient. We said in the beginning, we've got to get that more efficient. We're doing it finding the new channel. So that's one, obviously, closing the markets that we were never saw a path to profitability. I always said the opportunity cost of being in those markets is huge and you're seeing it by we can redeploy into the product, into the markets we are winning in. And that's one like Ontario now, the new clients coming, new stuff coming there. So -- and that's all happening. Plus, we've got product -- it's all about your product, right? It's like what is your product, how is your product relative to the competitors in each market. So in Africa, I think we got a standout product. I think we're catching up in some of the other markets, especially the U.K. And as we're closing that parity, we are seeing the uplift in our customer behavior, customer loyalty, et cetera. We then talk about process efficiencies. One is payment efficiencies. We're all over that, new rates, et cetera. In the African business, processing is expensive. It can be anything from 3% to 6%, right, of deposits. But remember, what happens in those markets is they deposit, they cash out. They redeposit, they cash out, they redeposit. So you've got a lot of churn of the same money. So you're paying deposit fees in and out all the time. So hopefully, with our Super Coin, et cetera, we can build that balance that stays in our ecosystem. We're not paying for the same money, but 3 or 4 or 5x. In the U.S., as an example, in the U.K., the processing fees are tiny. They're pennies, right, in transaction fees but not in some of the other markets. So that's where that comes together. And then what we always said and we said for the last 3 years and since we finally got stuck into it, especially as Alinda has been really pushing it is these cost efficiencies. It's how do we do the business, how do we double the business without doubling the costs. And that's really what this is all about. And we're finally seeing that coming through and there's more and more efficiencies, new call center software, new risk management, that's happening everywhere and that's what, what we have been pushing. And then that you ultimately need that because in some markets, you can win, in some markets, you're not winning like Germany. But Germany is really a function of the [ regs ] but also in Germany, we had to wait to split out our wallet. So yes, has it been on the main burner for us, probably not. But now we can finally get to it that we split out the casino wallet from the sports wallet, so we can finally offer casino in Germany. So all these things take time but we're finally getting them. And I think it's about actioning the points that we believe in and that's what you can see dropping down. So if you have to look to 2026, we are setting some of the goals we set on our Investor Day, how do we increase the revenue and then the operating leverage kicks in. So you'll probably hear from us about 2026 in February time, right when we do our end of year wrap-up, et cetera. And most importantly, our deposits and net revenue are really tracking well and it's all about the customers in the system. And again, if you look -- remember, at Investor Day, we had one slide, which obviously explains a bit on this cohort analysis but around it, it's all about the customer. And we can't forget this business is all about this customer. And everything we do has to involve around the customer. And as you get 6 million in, you've got a lot of work that the system has to do to make sure that all 6 million are treated correctly, right? And that's what we're striving to do.
Michael Hickey: Thanks, Neal. The other piece on Africa, obviously, it just seems like a incredible opportunity for you guys near and long term. We noticed that Kenya has made a change to their tax scheme. And we know that you exited Kenya because of some, I guess, you could say one of your guys say ridiculous tax environment. Obviously, it wasn't great. You laughed and now they've got a change. Just curious your thoughts on that change and if you -- if it's significant enough that maybe you can reexamine that market as an opportunity. And if you think the new tax scheme may have positive implications for other countries where you operate?
Neal Menashe: Yes. I think that's -- I mean, that's actually a very good point. If you bring up Kenya, they had this excise tax on sports and casino where you could actually do it on sports, you couldn't actually apply it to casino. And it takes them like what 2 years or almost to do it. So yes, absolutely, that's a case that we could absolutely go back in and turn on the software. And it just means they finally found a mechanism that they are more comfortable in, which is taxing on deposits in and out, which is a much more fairer and easier way basically for them to monitor the tax collection. So Zambia also went against this excise tax. But I think the first time what we saw in Zambia is, as an industry, all of us came together to go and lobby the government to finally say you don't have casino there, you'll lose all this revenue and they're slowly lifting. And in Kenya, as we do it, Kenya goes with the exact model that we suggested for Zambia. So I think it's the ebb and flow. And as these new businesses come in, we are working with the government. So absolutely. And for us, I think the [indiscernible] point is that you have always got opportunities to go back in. And so and that's what we will do. And our products there, we just got to get the resource to be able to just turn it back on.
Michael Hickey: And Neal last question. The -- when Laurence gave his presentation on Africa at your Investor Day, he noted 4 countries that were -- maybe Kenya was one of them, I can't remember but 4 countries where you're not in today but are sort of on the radar. And this sort of maybe ties back to '26, which I know you can't exactly talk about but I appreciate the color. But it's a pretty significant TAM that he outlines in his presentation. Is that something that we should pencil in as a possibility? Or is it still fairly remote? It just seems like given the success here that it could be something.
Neal Menashe: No. We haven't gone into them yet but we are far down the line, getting the model right, getting how the money has been charged, et cetera. So we're all over them and there are a lot of them. They've got the capacity to deliver them. The question is at what stage in next year, we will be launching them. But that's definitely 100% part of our plan. It's all about [indiscernible] yes, absolutely.
Michael Hickey: When you say far down the line, Neal, that means that your -- there's no roadblocks to opening those countries.
Neal Menashe: No, no, no, it's just about the regulation and getting the legal structures in place, et cetera, because each one has got a slight nuance than the other one but there's lots happening. The team is on it and we -- and for us, that's all part of our journey. That's exactly what we want to be delivering on, absolutely. And that's why we freed up all that. And that's simply why we speed up the Africa business just to do Africa. And we speed up the rest of the world for them to do the rest of the world. This is exactly the point, right?
Operator: The next question comes from Chad Beynon of Macquarie.
Chad Beynon: Nice results. So wanted to start with the New Zealand regulatory news that we've seen in terms of the online gambling tax change and I guess, it's a fairly different licensing regime. I know that's been a smaller market and one that hasn't led to as much growth as others. But Neal, can you maybe just kind of touch on how you're feeling about the market and kind of how you think operators will react to this?
Neal Menashe: So again, it's still -- all these regulations are still in and out of the different committees in New Zealand. We are all over it. We've -- it's just a matter of when they actually finally decide that they are going to fully regulate it, especially this is all to do with casino, right? So we're all over it and what we are doing is -- and have been doing it for a while, is they've got certain advertising restrictions that we are adhering to. And that's very important where some other competitors aren't but we are because for us, it's all about the long-term longevity of that market for us. So we're doing that. We're able to do certain marketing, not others. So we've actually taken a constant stance there, which is why you see the growth not being what it is, also subject to there has been some devaluation of the New Zealand dollar.
Alinda Van Wyk: And just to add to Neal's point, remember, New Zealand has been taxed for a very long time. So we pay a GST tax in New Zealand for a very -- for a couple of years already. And mid last year, they introduced a smaller gaming tax. And the noise around tax is just how the regulation now coming to maturity to when they launch to peg that rate of tax. And I think there has been now rumors to increase it a bit more. But like Neal said, this is very early days. But the point I'm just making is that we have been paying tax there for a while, even though there wasn't a regulation regime at that point in time.
Chad Beynon: Great. And then lastly, just in terms of the strong capital position that you're in, any update in terms of how you're thinking about tuck-in or bolt-on M&A in this market?
Neal Menashe: So we look at this. Listen, we're highly selective. We don't want to overpay but also I don't think we can totally underpay either. So we have to find that balance. But at the moment, we make small, tiny little ones along the way, marketing ones, et cetera. But it's all about, is it at the right price and does it work? And we can't just base these acquisitions on synergies, right? They've got to stand on their own 2 feet. So when we find the right ones, it's not that we're not looking, we've got a long list, it's got to make sense for us, right? And that's what we're doing. And really, what we're also doing is, operational side, is we're working out where we need to bolt on along the way. So it's in the marketing domains, if it's in other stuff, et cetera, which is what we're doing. It's like -- the Super Coin one is another example. We bought a [indiscernible] license. We had to buy it from [indiscernible]. So we bolt on these smaller ones along the way. [indiscernible] comes, we're all open.
Operator: We currently have no further questions. So I'd like to hand back to Neal for any closing remarks.
Neal Menashe: So thanks, everyone, for joining us today. We are really proud of our performance this quarter and excited about how well positioned we are for the future. We will speak to you all again soon. Thank you.
Operator: This concludes today's call. Thank you all for joining. You may now disconnect your lines.